Operator: Greetings and welcome to Quanta Services' Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Kip Rupp, Vice President, Investor Relations. Thank you. You may begin.
Kip Rupp: Thank you and welcome everyone to the Quanta Services fourth quarter and full year 2023 earnings conference call. This morning, we issued a press release announcing our fourth quarter and full year 2023 results, which can be found in the Investor Relations' section of our website at quantaservices.com. As highlighted in our earnings release this morning, as well as in the earnings press release announcing our earnings call schedule a couple of weeks ago, we've updated our earnings call format and supplemental materials. As a result, shortly after the release of our financial results this morning, we posted our fourth quarter and full year 2023 operational and financial commentary and our 2024 outlook expectation summary on Quanta's Investor Relations website. While management will make brief introductory remarks during this morning's call, the operational and financial commentary is intended to largely replace management's prepared remarks, allowing additional time for questions from the institutional investment community. Additionally, we no longer have a slide presentation to accompany this call, as the information that has historically been included in the presentation can now be found in our operational and financial commentary. Please remember that information reported on this call speaks only as of today, February 22nd, 2024, and therefore, you are advised that any time-sensitive information may no longer be accurate as of any replay of this call. This call will include forward-looking statements intended to qualify under the Safe Harbor from liability, established by the Private Securities Litigation Reform Act of 1995, including all statements reflecting expectations, intentions, assumptions or beliefs about future events or performance that do not solely relate to historical or current facts. You should not place undue reliance on these statements as they involve certain risks, uncertainties, and assumptions that are difficult to predict or beyond Quanta's control, and actual results may differ materially from those expressed or implied. We will also present certain historical and forecasted non-GAAP financial measures. Reconciliations of these financial measures to their most directly comparable GAAP financial measures are included in our earnings release and operational and financial commentary. Please refer to these documents for additional information regarding our forward-looking statements and non-GAAP financial measures. Lastly, if you would like to be notified when Quanta publishes news releases and other information, please sign up for e-mail alerts through the Investor Relations section of quantaservices.com. We also encourage investors and others interested in our company to follow Quanta IR and Quanta Services on the social media channels, listed on our website. With that, I would like to now turn the call over to Mr. Duke Austin, Quanta's President and CEO. Duke?
Duke Austin: Thanks Kip. Good morning everyone and welcome to the Quanta Services fourth quarter and full year 2023 earnings conference call. This morning, we reported fourth quarter and full year 2023 results, which included double-digit growth in revenues and earnings and included a number of record financial metrics, which we believe reflects robust demand for our services and solid execution. Total backlog at year-end was $30.1 billion, which we believe reflects the value of our collaborative client relationships, and evidences the momentum we see for 2024. Of note, Quanta has delivered record revenue six of the last seven years. Six consecutive years of record adjusted EBITDA and seven consecutive years of record adjusted diluted earnings per share. These results were built off an industry-leading operational and financial platform, and made possible by our more than 50,000 dedicated Quanta employees, whom we believe are the very best in our industry. As outlined in our operational and financial commentary, 2023 was a significant year for Quanta strategically, operationally, and financially. And though we are proud of our many accomplishments during the year, we continue to look forward with excitement towards the multiyear strategic initiatives, we are working on and the goals we expect to achieve in this and the coming years. We are positioning Quanta for decades of expected necessary infrastructure investment and believe our service line diversity creates platforms for growth that expand our total addressable market. Our portfolio approach and focus on craft skill labor is strategic advantage that provides us the ability to manage risk and ship resources across service lines and geographies. Which we believe will become increasingly important, as the energy transition accelerates. We believe our portfolio approach positions us well to allocate resources to the opportunities we find the most economically attractive and to achieve operating efficiencies and consistent financial results. I will now turn the call over to Jayshree Desai, Quanta's CFO, to provide a few remarks about our results and 2024 guidance, and then we will take your questions. Jayshree?
Jayshree Desai: Thanks Duke and good morning everyone. Quanta completed the year with fourth quarter revenues of $5.8 billion, net income attributable to common stock of $210.9 million or $1.42 per diluted share, and adjusted diluted earnings per share of $2.04. Adjusted EBITDA was $550.2 million or 9.5% of revenue. Of note, our cash flow in the fourth quarter and for the full year was very strong with both setting period records. For the fourth quarter and full year of 2023, we had free cash flow of $915.5 million and $1.2 billion, respectively, which exceeded the upper end of our free cash flow guidance expectations. We ended the year with liquidity and a balance sheet that will position us to support our organic growth expectations in 2024, annually increase our dividend, and opportunistically invest capital. To that end, in January, we acquired two companies for aggregate consideration of approximately $425 million. This morning, we also provided our full year 2024 financial expectations, which calls for another year of profitable growth with record revenues, improved margins and opportunity for double-digit growth in adjusted EBITDA, adjusted earnings per share, and free cash flow. We believe our expectations demonstrate the strength of our portfolio approach to the business, our commitment to our long-term strategy, our favorable end market trends, and our competitive position in the marketplace. Additional details and commentary about our 2024 financial guidance can be found in our operational and financial commentary and outlook expectation summary, both of which are posted on our IR website. With that, we are happy to answer your questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Chad Dillard with Bernstein. Please proceed with your question.
Chad Dillard: Hi, good morning everyone.
Duke Austin: Good morning.
Jayshree Desai: Morning.
Chad Dillard: So, I want to spend some time on margins, particularly in Electric Power. So, I think in some of the prepared remarks or it sounds like there is some pressure happening in Canada. So, I just wanted to know whether you plan to right-size the business? Or is there no future work out there to continue at the current footprint? Just trying to think through how you think about the trade-off there?
Duke Austin: Yes. Thanks Chad. When looking at margins, I think we've always discussed around 10% at the Electric segment, 10.5% with the impact of Puerto Rico is how you should guide it. We continue to believe that's the case. Is there opportunity for upside on the Electric side? Yes. We do believe there is. It depends on storms. It depends on utilizations. We need to get through some things. As we start our larger projects in the Renewable segment and in the Electric segment, we're in early stages of the larger dynamics such as SunZia, other big programs that we're starting. So, as we get good cadence and as we continue to win these larger projects in the future, the cadence will be -- we're always running through contingency philosophically. We need to operate in the field. We need to execute as we do, we'll release contingencies, as we see it. And normally, there's upside opportunities in both segments. We've historically operated in both segments in double-digit type margins, and we believe we can operate there in the future. Certainly, we've been through some things where the business has been with the panels and some other things on the renewable side. That's starting to kind of starting to get good cadence there. It's early, we'll see where we get to by the end of the year, but we feel confident over time in our historical numbers that we'll be able to operate in double-digits if you -- especially if you take both segments as one. If the crews do move from one to the other. So, for me, the Renewable segment and Electric segment, as I see it, put them together and we should be able to operate in double-digits.
Chad Dillard: Okay, that's helpful. And so in your prepared commentary, you mentioned that visibility of high-voltage transmission projects is improving. Can you give a little more on this, what's changed? And how much more visibility do you have?
Duke Austin: Look, we've said all along, and we think that the nation's grid is underinvested in transmission. I don't think that's news to anyone that we said, if you go to Europe and you look at the way the things happen in the corridor is it three times bigger than anything we have here. We've barely invested in the transmission system of this nation. And in order to do the things that we want to do with this transition, whether it be EV, whether it be batteries, your fuel switching, the cheapest form to get the generation to the customer is transmission. So, I think that's the key to this and the whole key of the securitization of the country as well as for us to get to a carbon-free environment, we'll have to build tons and tons of transmission. So, I think you're -- we're just getting started in these bigger projects. We're seeing more and more come in our way. There is some push on clean affordable energy. But I believe that the transmission is the cheapest way as well. So, I -- we're seeing more on the books. We're continuing to be around the edges on all those projects. So Chad starting, and we're confident in our ability to execute and win.
Chad Dillard: Great. Thanks. I'll leave it there.
Operator: Our next question comes from the line of Ati Modak with Goldman Sachs. Please proceed with your question.
Ati Modak: Hi, good morning team. Thank you for taking my questions. I just wanted to touch on the acquisitions. You previously talked about your thought process there. I think it was mostly trying to internally source your capabilities. But maybe if you can touch about -- touch on the two acquisitions you've made and the thought process around the industrial solutions side, in particular, as you go forward from here?
Duke Austin: Yes, the acquisitions, as we look at them, truthfully, I think we've always said that the industrial business, as far as in the UUI segment, we like it, it's resilient. The nature of it is much like our MSAs on other businesses. The environmental solutions that we can provide on the industrial base, we believe that the base of the business will stay for decades, you're going to continue to refine, continue to have plastics and things of that nature done on the Gulf Coast. So, the assets that keep the plants running and things of that nature will certainly be here for a long time and be more valuable over time. We're in the cables [ph] business as well, where we have high voltage and now, our environmental solutions business, we like them all through. There are synergies along. There was very little overlap in the business. So, it gives us really a good customer base. We don't apply synergies in our model. So there is synergies for sure. As we move forward, we'll identify them and I think you'll see them show up on our numbers. So, we like the management team on our industrial side. We're fully behind that for the long run, great opportunity to get an environmental piece of the business here and really see our service line grow and expand in that area. So, again, we're -- the portfolio is something that we value, as things move around, but the industrial base and the industrial side of our business is great, coming off a near record or record year, very close to it. So, we're confident long-term and -- the second piece of it was an internal supply chain that we feel like necessary to, from a cost standpoint as well as to make sure that we can -- we self-perform about 85% of the work, between 85% and 90%, and the tooling and all the equipment and things that we can do from this platform really allow us to make sure that we can man the work, man of people, any kind of bottlenecks for us, they're not acceptable. So, we'll make sure the supply chains are steady and that we can continue to grow.
Ati Modak: Thanks for that. And then I think there has been a lot of market concerns around how your customers are thinking of projects. And I know you've mentioned the requirement around transmission and guide came in a lot better than what I think a lot of the Street was expecting. But maybe you can touch on how your customers are thinking of this year and the sensitivity around this potential regulatory changes, anything that's latest in your conversations?
Duke Austin: Yes, I'm not seeing that. I'm not hearing that, I'm not hearing our customers back off anything. I've heard some switching from distribution and transmission, but their capital continues to grow. You have data centers, you have load growth, that's pushing in every jurisdiction we're in. The data centers are not going away, that load is not going away. The onboarding of manufacturing is not going away. EV penetration may stall a bit. We've always said we think that this is a longer build, not shorter. So, they were saying 2030, maybe it's 2040, maybe it's 2050 for all EV penetration. But that's something on the distribution system that is not impacting as bad yet. We do need to plan as an industry. We do need to get in front of that, but we also have to be cognizant of the state regulators and as well as affordability at the customer level, ultimate customers. So, yes, we're concerned with that as an industry. So, distribution is something that you may see slip a little. The demand and what needs to be done to the system in order to electrify it, securitize it, is there, and it has -- it remains. Data center push is now in generation switching is now. So, you'll see probably some switch into transmission. It does not affect our portfolio whatsoever. The numbers you can see them. We stand by them. We've given good guidance. We've taken all this into account, when we give out the 12-month guidance. And look, it's a prudent number in my mind. It's right where we need to be.
Ati Modak: All right. Appreciate the answers. Thank you. I'll turn it over.
Operator: Our next question comes from the line of Durgesh Chopra with Evercore. Please proceed with your question.
Durgesh Chopra: Hey good morning team. Thanks for giving me time. Duke, I'm actually going to flip the last question. So, we've seen your utility customers kind of raise CapEx in high teens. Even Illinois companies came out with their latest CapEx guidance, double-digit increases. What is factored into your 2024 guidance? Should we assume that the forward-looking capital plan increases are factored in? Or are you still learning them? And I guess what I'm asking is what kind of conservatism are you baking into 2024 guidance, as you've seen a pretty significant step up, quite frankly, a step change in utility CapEx plans?
Duke Austin: I think we're in a good spot for the start of the year, where we're at. And when we look at it, we look at our historicals, and we're going to talk about EPS growth. If you look at EPS growth, what we've said is we grow double-digits in the CAGR basis, have the opportunity to grow 15%, the transition, everything that's ongoing that can allow that 15% growth. If you go back and you look at our historicals, it's 15% growth. So, do I think there's opportunity? Yes. It depends on storms. It depends on other things that are out of our control at times. So, we'll take a prudent nature to it, election year, things like that. We've taken all that into account, when we give guidance. I do think there's opportunities for us to grow 15%. I do. We've said it. And I don't think it's changed. I think -- when I look at it, when I look at our opportunities, given the fact that the tech push on AI, on all the things that you can do from a data center, it's backing up everything plus. So, your fuel switching is one thing, but when you think through it and you see the load growth in data centers, it really pushes the transmission system and generation system because at tech, they want clean power, and they want it now. So, I think that push on the industry is something that is why you're seeing such confidence in the capital spend in the transmission systems. It does affect our distribution a bit. I said it, but, we've taken all that into account, I expect latter half of the year, distribution to grow as well in a meaningful way. So, it's something that we've taken into account.
Durgesh Chopra: Got it. That is very clear. Thank you. And then maybe could you just address risks related to the SunZia project, and I'm not sure if you can, but can you quantify what are you modeling is, is EBITDA for those projects?
Duke Austin: We don't look at it project-by-project like that. I'm confident in the numbers we've given. SunZia, the whole thing was about 50 miles. I think the job is 1,000 miles. We have plenty of room to move and work with our client on stretch, as a right away here or there, but that is not a meaningful -- a bit will alleviate as we move through. We're not concerned. The project starts now, ramps throughout the year, part of why you see some guidance move into the second half as the ramp on these larger projects in the back half. But they're known projects, they're contracted projects. So, that's the difference is we know we're moving on and now and we know what the ramp looks like, in the back half. And I do expect us to get more awards in the back half. And so we'll continue to ramp. It's just -- it's some seasonality that you see early that ramps in the back. But SunZia, I'm not concerned at this point.
Durgesh Chopra: Thank you very much. Appreciate the time guys.
Operator: Our next question comes from the line of Steven Fisher with UBS. Please proceed with your question.
Steven Fisher: Thanks. Good morning and congrats on a nice 2023. Just curious how we should think about that 20% growth in the renewables segment in 2024? Clearly, there's SunZia, I think there's maybe a piece of PTT, that you are allocating into that segment. So, how should we think about the growth rate of the renewables business separately from those couple of pieces? And really just trying to think about the big picture here about renewables. I mean SunZia is kind of a unique project. But at a higher level, to what extent do we think like this is the year where Renewables kind of breaks that out from a more restrained 2022 and 2023 from some of the various uncertainties that have been going on in the marketplace?
Duke Austin: I don't know what our growth was last year, but it was significant. So, -- and then 2022 is significant. So, I think from our standpoint, we've had phenomenal growth in the renewables side, both in 2022 and 2023. Off those big growth on balance of plant, solar, wind. And when you go into 2024, we've got good growth in double-digits plus, on both sides of that, whether it be our legacy business or balance of plant going forward. We continue to see 2025, 2026 and beyond, there is some pressure with -- when you think about when wins starting to come in for us with SunZia and other repower opportunities there, Steve. So, we're starting to see some assets like cranes, things like that, that we were sitting on some indirect costs on the wind side of the business, that will help the overall margins in the back half. As we see wind come in with the solar as that mix starts to change a bit more you'll continue to see margins move up due to some of the overheads and indirect costs that move through, as well as our Canadian operations are looking better from the renewable side. So, all those things will come into impact, you'll continue to see margins move up and I do believe the top line in the renewables segment will move up.
Steven Fisher: Great, that's very helpful. And then when you think Duke about the portfolio approach that you've been implementing, where do you think that's going to have the biggest benefit impact in 2024? Curious where the kind of the directional flow is mostly going to be? Is it still sort of underground work moving to Electric segment, Canada to the U.S.? Anything else to note about how to think about the portfolio approach in 2024?
Duke Austin: From a service line standpoint, I think our distribution business will start to ramp in the back half more than it is today. Canada geographically is down. We know it's down. We're seeing latter half of this year, 2024 with awards and how we're starting projects in the latter half of 2024 and also what we're seeing from government to the west in BC, as well as the East. So, we're seeing the amount of capital getting put into the same kind of fuel switching you're seeing here in the States. So, I do believe Canada starts to move back into good markets, call it, late 2024 and beyond, as far as we can see. So, it does help us there. But we've rightsized that business. And yes, it's pulling margins down a bit in the States, but the assets there. We're utilizing here, in Lower 48 as well as across the company. So that's where the portfolio comes into play, the front side of our business, things like that, that we have there, that gives us some abilities, here in the Lower48. Look, we're not hitting on all cylinders. So, I would say, as the portfolio as that moves forward, both geographic and service lines, as they mature, you'll see some undergrounding move from gas to electric. But look, we're taking advantage of those leverage -- things we can leverage at the local levels and making sure that we're in the right place. I'm not too concerned with if we're pulling electric pipe or gas or whatever it is, we're just trying to optimize our resources. So, that's the big thing. It should increase margins. We're not where we want to be from a company in the portfolio, a double-digit type EBITDA margins, across the board. We do believe we can operate there. So, as we look at the portfolio and everything that we're doing, it should be the optimization of our margins. But I will say that if you look at the way of adjusted returns, our returns are going up substantially. You can see it with cash, you can see return on invested capital.
Steven Fisher: Very good. Thanks so much.
Operator: Our next question comes from the line of Michael Dudas with Vertical Research Partners. Please proceed with your question.
Michael Dudas: Morning Jayshree, Kip, Duke.
Jayshree Desai: Morning.
Duke Austin: Hi Mike.
Michael Dudas: Duke, it seemed like the life plug went off with your utility clients and everybody because of AI, as you discussed earlier, data center, demand that people want to just get out and spend and do stuff. How do you -- how you guys allocate your very dear and tight resources relative to your client base or where the opportunities are? And is the demand for contracting and your type of services very tight right now relative to supply? And how is that relative to your current ability to bring folks on and under graduation rates at the colleges. And are the utilities maybe pushing off some of those retirements because they're just going to be so busy?
Duke Austin: I think on the transition side of the business, we're seeing a significant amount of ramp there in areas. It's spotty. No, we're not anywhere near capacity from my standpoint. I think we've got a lot of room. We've not seen anything that would back us off, to say that we're concerned with labor at this point. We're in good shape. Look, we have a good look at it, a good five-year look at what we see, very close to the business, very close to our clients. We work with them quite a bit on long-term natures and programs and what's going on, when you go from West to East and the coverage that we have, you're able to see the things that we know are going to happen, they start in the West like when you start to see vehicle penetration in the West, you know it's going to move across the country. And we're starting to see those impacts. I think Edison had a good report on kind of how their grid is changing. And I think it gets -- it gets worse, not better. I think capital goes up even from what they're seeing. And I think you'll continue to see that, as you see the total cost impacts of energy really require the grid to be robust to create the environment that you want, which is the customer builds going down, you have to build this infrastructure out to get the total cost of energy down. It's happened in Europe, you'll start to see more and more of that getting fed, which is really important for us to get in front of the necessary capital at the local level, at the state levels, so they understand in order to get the cost down and you've got to get the infrastructure. And it's also security for the country, is to get the grid where we need it to be. And you're going to see that with loads going up in places, no one expected load to go up like this. The areas that you're seeing a load, they did not expect data cities to come in and take, call it, 3 gigs, 5 gigs and they don't want -- they want secure power. So sometimes that requires multiple lines. And when you look at all this and you look at what's coming at you, you're backed up by this. The technology that's coming into the world that requires our services, across the board, in the utilities rooting growth business, they're growing. And it's necessary for them to spend capital, it's just a matter of getting it through from a federal push into the state regulators. And we kind of said that all along that this is necessary, it's going to come to a head, and you're seeing it. This transition will be noisy. It will be things that you'll see, it's not straight up every day. It's going to have CAGR look to it at times, in parts of the business. That's why I like the portfolio so much, as we can move around and kind of get through this transition here and continue to what I believe perform at a high level and deliver the results we have.
Michael Dudas: Excellent. Good. Thank you.
Operator: Our next question comes from the line of Gus Richard with Northland Capital. Please proceed with your question.
Gus Richard: Yes, thanks for taking the question. The AI data center, not only needs a lot of power, but it needs a lot of bandwidth. And I'm just wondering if you guys are seeing along with the AI boom, a big demand for your comm services? And is there any synergies between those two pieces, the power and the comp? thank you.
Duke Austin: I think so. When you look at our communications business, I mean, we've done nicely, we're growing double-digits. It's not something that we're investing a lot of capital in, but I do see it. I do see technology itself needing -- you're going to strip some of the fiber capacity, are stripping some of the fiber capacity out there. And especially when you start putting big data in different parts of the country, it's much easier to build a telecom line and get telecom service, than it is transmission. So, sometimes in my mind, you'll see data centers start to locate, where the power is, almost. And right now, if you can't get power to the East and you can't get it to the West, you start to see the Midwest build. And then if you can't get it there, you start to see the South build. So, everywhere that you can get affordable power today or in the next 24 months, you'll start to see data centers go up. Even if there's not fiber, so you're going to get fiber going to them, at some point, nodes. Certainly, some of it is getting alleviated with satellites, things like that, but still you need the fiber on the ground. So, I do believe they'll push it, and yes, there's opportunity.
Gus Richard: Got it. And then just on the underground side. There's -- there was a pause in three years out on build-out of LNG export capacity. And I'm just wondering what you're seeing in that business are projects still moving forward? And just the state of natural gas and that business for you?
Duke Austin: It's $500 million to $600 million in the guidance, it will be $500 million to $600 million, next year, in the next year and the next year. We don't -- we're not going to -- that's why we moved off long-haul pipe and big pipe. We just can't -- we can't build the business around it. It's certainly something, we'll take every bit of opportunity we can. We did $1 billion plus in big pipe last year. So, you're seeing some offset in the top line because of that because we guided $500 million to $600 million. Is there opportunities for $1 billion plus? Sure. But the government regulations and difficulty in building a large diameter pipe, anywhere in the country, but Canada is -- a little better opportunities in Canada. But we're just -- we can't take that and build it in guidance and give you any kind of firmness to our numbers. So, I -- look, I think there's opportunities. But it doesn't -- LNG, if everything goes and it doesn't go, it doesn't matter to the guide we've given you. It doesn't matter.
Gus Richard: Got it. Thanks so much.
Operator: Our next question comes from the line of Brian Brophy with Stifel. Please proceed with your question.
Brian Brophy: Yes, thanks. Good morning everybody. I wanted to ask about free cash flow guidance. was quite a bit higher than we were expecting? Your free cash flow conversion is above long-term targets this year. How much of this is more of the onetime collections that you called out, in the commentary versus potentially a more permanent improvement in free cash flow conversion, here as renewable energy mix has grown? Thanks.
Jayshree Desai: Yes. As we've talked about in the Investor Day, and as you've seen in the fourth quarter last year, the renewable business with the way those contracts are set up, has a very favorable cash flow profile and the working capital profile is very good. And so, as revenue and renewable side pushes up, you'll see better conversion just as we saw in 2023. Going into 2024, we did take that into consideration, but we did range it. There's a range for a reason. As I just said, renewables can push us in the higher end of that range of 45% to 55% that we talked about at Investor Day. But if you've got -- if it's more growth coming from our electric and underground segments, it can push the other way, right? And so we've given you what we think is a good prudent look at where free cash flow will be. But having said that, if the mix of work between renewables and electric and utility underground changes, you will see outside of that range or either a high end of that range or the low end of the range. The one-time cash flow impact of the large Canadian Renewable project, we do believe we will collect next year. We -- excuse me, in 2024. We -- as we talked about the last several quarters, as construction winds down, which we expect in the next several months, a couple of months. Conversations with the customer continues to go very well. So, we're optimistic we'll be able to collect all of that as well this year. But on an ongoing basis, I think you would be good to look at a range of between 45% to 55% conversion.
Brian Brophy: Okay. Thanks. And then just wanted to touch on how you're thinking about capital allocation more broadly this year given that you're in line with some of your longer term leverage targets now? Should we be expecting more buybacks this year? How are you thinking about M&A? Any thoughts there would be helpful. Thanks.
Duke Austin: Sure. We'll be opportunistic in how we look at it like we have in the past, no different. We are below some of our targets. It allows us flexibility, which I like a lot. Certainly, there's things that we can be opportunistic in. But the strategies won't change. We've laid out a good strategy plan. Can we get -- can we go faster, as we delever, things like that, sure. So, I think ultimately, we're moving faster across the five-year plan. As we said last quarter and continue to say, we're moving faster through it. We'll be opportunistic with the balance sheet. But again, with the conservative nature of the company and -- we'll -- we have opportunities, across multiple fronts, and we'll take advantage of all of them.
Brian Brophy: Excellent. Thanks. I'll pass it on.
Operator: Our next question comes from the line of Martin Malloy with Johnson Rice. Please proceed with your question.
Martin Malloy: Good morning. I wanted to ask about the trend with higher attach rates for energy storage associated with utility scale solar and wind projects and could you maybe speak to how that impacts your scope of work and margins?
Duke Austin: The tax rate, the PTC and ITCs and those things, they're in place. I've not seen them come off at this point, whether it's IRA or PTC, how it moves in or ITCs, how it moves in, I think it's the same. Now, if it was repealed, I do -- you could see some issues there. I do not believe that will be the case going forward. That's something that gives certainty to the industry. So, I continue to believe that how you get them and our customers have been able to get in front of this. And I think our customer base is -- these things kind of figured out. The IRA has some different things, you can get more, not less. So, I actually think we're in early stages of the IRA, which should give it's going forward, not less. So, I see it as more opportunities. We should check the box on from a standpoint of U.S.-type apprenticeship programs, U.S. type materials, things of that nature, even internally. So, we really set ourselves up to take advantage of that for the customer. So, I feel good about it. I'm not seeing it slow down from that standpoint. I mean, everyone's watching from our customer viewpoint, they got it figured out and tax credit figured out.
Martin Malloy: I'm sorry, I appreciate your comments. I wasn't clear, I was actually asking about energy storage, tax rate, at utility scale solar and wind projects with adding energy storage in conjunction with those projects and what that means for your scope of work and profit margin soon?
Duke Austin: I think -- I mean, I think I understand what you're saying. But from a tax rate standpoint, I don't know if it does much, but from a combination, it actually expands many of the projects that we've built in the past are adding storage to it. Our, storage business is growing nicely, and our battery business is growing nicely. So, I like that. We continue to add that capability and get more refine there, as we move forward across geographies. So, when you ask that, I think it's just more opportunity to increase the size and scope of these projects.
Martin Malloy: Great. Thank you.
Operator: Our next question comes from the line of Adam Thalhimer with Thompson Davis & Company. Please proceed with your question.
Adam Thalhimer: Hey good morning guys. Congrats on the solid result. Quick question on the project funnel for Blattner, is that still dominated by solar? Or are you seeing wind pick up?
Duke Austin: I mean, SunZia is a nice project that's on the wind side. We're seeing more opportunities repower. I think you'll see a lot of repower work going forward. You're in early stages of the cycle coming back from wind. So, we're starting to see more and more in the outer years of wind coming into the portfolio. I don't think it's going to be any like large windfall in 2024 by any means, but I do think 2025, 2026, it starts to move up significantly as we move out in the outer years, the curves get, where wind makes a lot more sense in areas. So, you'll start -- transmission needs to be built, too. Like we've got to get the transmission built before you can get wind out. And that's the other piece of this is you need long-haul transmission to move wind out of those sources into load centers. So, it's very taking out the egg sometimes, and I do think both are coming into play. And the Wind business gets better from, call it, 2024 on.
Adam Thalhimer: That's great. And then I also wanted to get your early thoughts on PTT and the timing of the capacity expansion there?
Duke Austin: We continue to expand capacity there. There's a lot of things that we can do internally to expand. We're expanding like the business ever more so today than we did -- today looked at it. So, it gets better the opportunities and synergies, the things that we can do for the clients with PTT, U.S. base, Union in Pennsylvania, a great place to invest and we're lacking that business a lot.
Adam Thalhimer: Thanks Duke.
Operator: Our next question comes from the line of Sangita Jain with KeyBanc Capital Markets. Please proceed with your question.
Sangita Jain: Thank you so much for taking my question. So, you gave earnings cadence of -- which is kind of back-end loaded, which is generally normal for you. And I was wondering if it was just weather and seasonality or if there is something more to read into how the projects ramp as the year progresses?
Jayshree Desai: No, I think it's mostly seasonality typical of what we run. We did -- as Duke talked about, there's a little bit of Canadian pressure in the first half of the year. But it's just normal seasonality. And we do expect with the additional SunZia work and some other projects, more back half weighted, but again, nothing more unusual than that.
Sangita Jain: Great. Thank you. And I just have one follow-up. And that’s on the renewables side. The Biden moratorium on the tariffs comes to an end in June. So, I was wondering if you're seeing any kind of pull-forward on the part of developers, who want to install within that 180-day timeline between purchase and installation?
Jayshree Desai: The customers we work with, have been planning for the tariff situation for a while now. So, I think we're -- our customers have been planning this moratorium being lifted in June. So, it's -- I don't know -- I can't answer directly, if we're seeing some pull forward, I just know that the customers we've been working with for years, now planned for this very well. They know how to work this. They've been prudent about how they think about their panel procurement, and we continue to see good growth in our renewable segment as a result.
Sangita Jain: Great. Awesome. Thank you so much for answering my questions.
Duke Austin: Thank you.
Operator: Seeing no other questions in queue. I'd like to hand the call back to management for closing remarks.
Duke Austin: Yes. Thank you. I want to thank the 50,000-plus men and women, in the field, they're the best in the business. They allow us to have these kind of calls and give this kind of profile for the company, so, we thank them. And I want to thank you for participating in the conference call. We appreciate your questions and your ongoing interest in Quanta Services. This concludes our call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.